Mark Frohnmayer: Good afternoon, folks. Welcome to Arcimoto's 2021 Q1 Earnings Webinar. Give people a few minutes to log in if all of the panelists could mute themselves. So welcome, everybody. I'm going to start -- we're going to do -- we're still working on the optimum format for the next evolution of the quarterly conference call. We are going to this time -- I'm going to run through a presentation on the company, kind of starting out with really the big picture vision, a little bit of detail on the quarter and then look at our goals ahead, introduce the new executives who've joined us in quarter one and then open it up to questions on the -- from the Say platform. Again, if you have not had a chance to check out, Say, Say allows you to vote your shares for questions. And so we look at that. We think of this call really as an opportunity for our stakeholders to get deeper insight into the company. If you've got questions, that's a great place to start. And then as time permits, we will use the Q&A function in the Zoom interface to answer questions. If you are one of our analysts make sure that you get your questions in there. And off we go. So the big picture vision for Arcimoto to me can be summarized in the simple phrase, parking lots to parks. We pave over approximately half of our urban landscape in order to move and park cars. And that is that leads to urban environments that are unpleasant, noisy, polluted, crowded by big vehicles that provide real safety obstacles to pedestrians and alternative transportation users. And ultimately are making the -- put us in danger of a planet that is unlivable for humans because of runaway climate change. So Arcimoto's mission is at its core, our vision of the future is a city that doesn't suck anymore. And that has been the Arcimoto vision ever since our inception. I first really sort of laid out the big picture of this back in 2012, when I had the opportunity to give a TEDx talk. And that was this was -- this was -- my graphical design shops, circa 2012. I think this image has really captivated a number of folks who have looked at it, this is -- the real aha comes from noticing the giant disconnect between cars and how we actually use cars. And so Arcimoto is really all about mining that gap between the bicycle and the car in order to produce radically more efficient vehicle platforms for solving the same trips that we use cars for today. The 2021 version of this and this is still in process. But just to give you an idea of what we see when we see the city of the future. It's a much more pleasant place to live. And is really the purpose of the Arcimoto venture is to right size the footprint of mobility. We start with what we call Platform 1, which is the product of eight generations of iteration over the early years of the venture. And what we landed on try 8 was an incredibly flexible platform for daily mobility. And we're applying this platform to bespoke products for specific platform verticals. Starting with our flagship product, the Fun Utility Vehicle, FUV which is also our stock ticker. The Deliverator which is for last mile delivery of food and goods, the rapid responder, which is designed for emergency services to be able to get to the site of incidents more quickly. What we introduced a vehicle we call the Cameo last summer, we use this for videography for ourselves. And this also provides the foundation for our flatbed utility vehicle. And then finally, we've introduced the Roadster, which is our pure on road fun machine that we are planning to deliver the very first one of by the end of this quarter. So the endgame for you can kind of think of Platform 1 is really being the products that we've outlined so far as being our shots at very -- this multiple shots on goal for the overall market. But where we see this going and this has been true since our Arcimoto's inception is what we call personal mass transit, which is where you combine an incredibly efficient, right sized footprint vehicle with emergent autonomous vehicle technology in order to provide the mass transit system of the future. And the sort of the big aha for Arcimoto is that one is that the rideshare market has the potential to increase exponentially as the cost per mile for the consumer goes down. And the biggest cost per mile is actually the person driving you across town in an Uber or Lyft, or a taxi. So what we see is the opportunity to leverage existing autonomous technologies, existing remote control technologies, in order to bring vehicles to you that you then drive because one of the really fun things about the Arcimoto is actually driving it yourself. And so the goal with Platform 1 in the endgame is to get to a shared vehicle system. And it is if you think about those images of parking lots to parks, it is the vehicle platform size that lets us erase road lane miles and narrower lanes and bring more of our roads into more productive use, and is ultimately the shared vehicle architecture that where we are sharing a fleet of very efficient vehicles. That allows us to get rid of the vast majority of our parking space for more productive uses. And we think that with the combination of the mass production Arcimoto with available technologies that we can achieve, we're aiming for a target of $1 per mile at scale. I want to take just a second to compare Arcimoto because we're now in at a moment where there are lots of different ventures going after the EV space and want to make sure that we frame ourselves in that emergent market. And to say a couple of things. One is that efficiency is incredibly important to us. Capital efficiency is incredibly important to us. Arcimoto is an actual production venture at this point; we went public in 2017 to build out our factory. And we are now producing at low volume as we look to much higher scale. Efficiency of operation is also incredibly important to us. So as we look down the road, we want to have the very most efficient vehicles for personal mobility in the market in the world. We had in quarter one was by far Arcimoto's best quarter in its 13 plus year history. We have ended Q1 in the strongest position of our balance sheet, we had the highest number of deliveries, even given the fact that we are still amidst a global pandemic with all of its associated challenges in supply chain in production, shutdowns and all the rest. And we had our certainly -- our strongest revenue quarter as we look forward. At the reporting of the 10-K, about six weeks ago, I laid out our goals for 2021. So I'm just going to every quarter, put up a scorecard, just to keep folks in tune with where we are according to our own goals. We have laid out the goals of articulating our full Platform 1 family, we're almost there, we plan to introduce our first Platform 2 product and I'm going to talk a little bit more about Platform 2 right after we introduce our Chief Tilting Officer, Bob Mighell. We plan to pilot shared usage models of the Arcimoto platform. And all of those will feed into our longer term goals of the true sort of grail, personalized mass transit that we aim for in the next -- over the next several years. We plan to open additional sales and service areas; we're presently selling vehicles to customers only in four states. And we plan to open more service areas before the end of this year. We have articulated a goal of teaming with the US Department of Energy and their Advanced Technology Vehicle Manufacturing loan program; we have now submitted that application. And it is -- the ATVM application moves through a series of gates, the first gate obviously, is getting it to them. The second is the Department of Energy's determination that it is substantially complete. Should they decide to commit funding, there would be a conditional commitment, and then at the end would be the actual disbursement of funds. So this first submission actually represents years of dialogue with the Department of Energy, and a lot of back and forth over the course of the last six months in order to tune our initial submission. Now we expect that will -- that our plan that we've articulated they will continue to evolve as we solidify all of our plans for scale production. And I'll talk about that in a little bit of detail in a minute. We plan to expand our campus. And we have actually closed on the purchase of a new production facility. But there's a lot of work that remains in order to get that facility up and running as a mass production facility. And then we have articulated a goal of delivering 500 customer vehicles this year, we delivered 60. So good step on the way there, but we're going to need to step up our pace as we get towards the end of the year. And then probably the most important thing, as we look to scale from a market development standpoint, we believe is getting people in the Arcimoto vehicles. It is an experience that sells itself. And so now that we are -- we essentially put our -- we did a massive pivot in terms of our go-to-market approach when the pandemic came upon us a year and change ago, we pushed our whole notion of a rental model into the future, we stopped doing marketing tours. And now that we are -- is looking like we are coming out of the pandemic, where we are going full tilt back in the direction of what we see is really the optimal way of driving demand creation for the Arcimoto vehicle platforms. So scale production update, new facility purchased application to the ATVM submitted awaiting a substantially complete designation, we will be doing, we're planning for a small amount of production work happening out of this facility in 2021. Primarily the turning up our automated vacuum formed plastics, but the bulk of what will come out of this facility will not appear until late 2022 is our target for SOP. That is an aggressive target. We believe we can do it, the Munro team that we're working with believes we can do it. But it is still certainly an aggressive target. And we have been -- want to be very clear about that with folks, particularly as we outlined it as a very aggressive target when we first stated it. And then again, this is what we see as our prototype for scale replication for global expansion. So both the product family that we're building, and as well as the way in which we're building it, those are what we're aiming to replicate in the coming years as we go to higher scale on a global level.  And with that, that's a great segue to introduce Dilip Sundaram who is our new chief International Business Officer. Dilip, if you don't mind turning your camera on, let's stop this share for a second and just let you introduce yourself to folks and maybe a bit about why you came onboard Arcimoto.
Dilip Sundaram: Sure. Thank you, Mark. I hope everyone can hear me. Good evening to everyone. I am really thrilled to be here. So as Mark introduced me, I'm Dilip Sundaram. I joined the company just a few weeks ago as a matter of fact. And I came here from a company called Mahindra, which is an Indian conglomerate or Indian $20 billion conglomerate who are leaders in farm tractors and automotive, and IT services. And so I am excited to be here. I'd be honest with you. I think when I think of the many reasons I came here, I think Arcimoto is on the cusp of redefining community. So if you kind of go back to history, the 50s really belong to the sports and the muscle cars, the 60s was all of our pony cars that were started by the Mustang, the 70s was all about the fuel efficient, the smaller vehicle that was introduced by the Japanese. The 80s was the minivans and the 90s. And even the early 2000 was the period for where America and pretty much the whole world was in love with SUVs. The last decade, we were introduced to electric cars. So what is this decade going to bring us I can -- I believe that it is going to be personal mobility, micro mobility, and first and last mile delivery. And there is no other company in my belief, there is no other company that is well better positioned to take advantage of that than Arcimoto. And that is what is -- has brought me here and I'm truly excited to be here. Thank you, Mark.
Mark Frohnmayer: Thank you, Dilip. Let's go back here. And then the other person I want to introduce before we go into the finishing the presentation and the panel discussion is Bob Mighell. And Bob is our -- is the Founder of Tilting Motor Works and now our Chief Tilting Officer. And we've got a little video clip to explain a little bit about Bob. [Video Clip] Well, thanks for the kind words, Bob, glad to have you on the team.
Bob Mighell: Happy to be here, Mark.
Mark Frohnmayer: Awesome. So into that point, and feel free to stay on for just a second. Bob is really leading the charge, not just on the existing Tilting Motor Works products, which we have pulled into Arcimoto but something that I think I mean speaking for myself, it's probably one of the products I'm most excited about of anything I've ever worked on in my life. And it is -- it really blends. I think everything that both of us and some of the other smartest people in the vehicle and electric vehicle design world that I've ever met, are all collaborating on. We're not quite ready to take the wraps off it yet. In fact, we're still -- we are still champing away on prototype number one. But our target is to make something that's yet again, another significant order of magnitude beyond where we are with efficiency of the vehicles that we have today. So where the Fun Utility Vehicle entered market at 173.7 miles per gallon equivalent, our target for mass production is 230 miles per gallon equivalent for the Platform 1 products, we think we can get close to 1,000 miles per gallon equivalent with our first entry into Platform 2. And again, this is for solving the same types of everyday trips that we take. But doing so in a way that the world's not seen yet. So more on that soon. And then, again, I've got one more video clip to play before we jump into the Q&A. But we've got the -- our road team is vaccinated, we just completed our first couple weeks California tour, we plan to have road tours going basically continuously throughout the summer on the East and West Coast, and then opening up destination rentals as expeditiously as we can in order to get people experiencing the vehicles. And so I'm just going to give you a taste for some of the feedback that we've collected in the last several weeks. [Video clip]  So we got a lot of work ahead. We are definitely still in the throes of early vehicle production challenges complicated by a pandemic. We are working diligently to both increase our production of out of our present facility as well as bring a new much higher scale facility online and we are developing some of the very the coolest products certainly that I've ever worked on in my career. So very excited about the road ahead, big challenges, certainly pressing global need. But I believe that we have assembled the team that is necessary to really take Arcimoto to the true mass production scale, where we're going to start to make a real impact along the mission that we are all committed to. So with that, would encourage folks to dive into the zoom Q&A, get your questions in. Before we jump into the Q&A, and it's looking like a Fritz, are you seeing the same? I'm not seeing questions in the Q&A interface here?
Eric Fritz: Yes, I was going to grab you on that. I don't see the Q&A option where it normally is on zoom. So if you don't see it, either, then it's probably not enabled or since we upgraded, there's been some changes to that. I have been monitoring chat. 
Mark Frohnmayer: Alright, why don't we just, we'll call an audible here and folks who have questions, please go ahead and queue those up in the chat. We will get to them after Fritz has gone through the Say questions. 
Operator: [Operator Instructions]
EricFritz: All right, we ready?
MarkFrohnmayer: All right, let's go ahead and stop the share if you guys want to come on board and again. So we've got, I'm joined here by Doug Campoli, our Chief Financial Officer who was just recognized by the Portland Business Journal as the CFO of the Year for Oregon. Very nicely done, Doug. Jesse Fittipaldi, our Chief Strategy Officer; Eric Fritz, Chief Marketing Officer; Terry Becker, Chief Operating Officer; Dilip Sundaram, our Chief International Business Officer and Bob Mighell, the true last mile solution, our Chief Tilting Officer. Fritz, fire away.
EricFritz: All right. From Say, we've got, you'll hear from Moe L. When will we learn who Arcimoto has partnered with for their autonomy demonstration/plans for later this year?
MarkFrohnmayer: I would say you will learn them when we announced them. Which is my -- it is my goal to have something meaningful on the road within the next couple of quarters. So stay tuned on that. We're --the good fortune to be working with some true legends in the field. And I'm very excited about that program. So we'll have more on that soon.
EricFritz: Is Arcimoto considering a casting machine for their 2nd factory? And if so, how beneficial would this be? 
MarkFrohnmayer: This question has come up a lot. And I think it really comes back to I think I -- it comes back to the way that a lot of folks have seen how Tesla is doing. They've done some awesome stuff with their mega casting machine. We're looking at that approach for pieces of the Arcimoto vehicle, that the benefit I think that we have is just that it's a much smaller, much more efficient vehicle to build. And so it doesn't rely on sort of any really substantially new casting technology in order to pull off using castings for the Arcimoto chassis. So we are -- it is -- that is one of the tools in the tool belt of the Munro team. And I think that I would certainly not be surprised to see a much higher proportion of cast parts in our mass production version.
EricFritz: Do you see supply chain issues becoming less of a problem going forward? And if so, could Arcimoto exceed its goal of delivering 500 FUVs this year? 
MarkFrohnmayer: I think this year is going to be tough for everyone in this field. I just got a -- I forwarded an article from Bloomberg today that said the world economy is suddenly running low on everything and I think there's a natural byproduct of the pandemic, as one of the knock on effects of having global interruptions of trade of production on all sorts of things. So to us, the most important aspects are really the push to the mass production version, and building the sales pipeline for the mass production version. If we had even just this last week had a close call on one of our, one of the many critical components of the vehicle and actually every single part of the vehicle is critical. When you think about it, you're missing one part, you don't ship a vehicle. So we were able to work out with our supplier how to get through that particular gauntlet, but I see this as being an effect particularly with recent news is going to be happening probably throughout the end of the year. And that is, again, our goal is really building a mass production and getting building the market for mass production. Secondary goal is really everything else. So I'm not going to get -- based on recent news in the papers, I'm not going to say anything over optimistic about the -- our production targets for this year. 
EricFritz: Jim C asks when will Arcimoto offer owners a portal similar to Tesla that can upload data from their FUV, allow them to schedule service, and track customer referrals.
MarkFrohnmayer: Great question, actually, we've got a whole program that we're cooking up called the FUV Life, which is going to be both a portal for customers to keep better track of their vehicles, be able to share vehicles, and then share their experience in the Arcimoto, really gamify the spreading of the word about the company and its products. And we have not announced a launch date for that program. But that's on the docket for this year.
EricFritz: When will the FUV get high-speed charging capability so owners can do road trips? Will existing owner be able to upgrade their FUV with this capability?
MarkFrohnmayer: We are looking at an option for upgrades for high speed charging. And there are a couple of -- there are a couple of challenges there. One is the -- not all of the high speed chargers out there actually work at the pack voltage of the Fun Utility Vehicle. So we will have -- we're planning on a succession of higher capacity options. Whether that ultimately leads to the sort of the full DC fast charge 80% and 20 minutes. I think that's still certainly a ways off. But you could easily imagine a lunchtime charge up that gets more miles down the road. And of course, as time goes on, and as energy density increases, we expect to offer higher range battery pack options as well.
EricFritz: Can you give an update on the development of a service network?
MarkFrohnmayer: Terry, do you want to hit that one? Where are we at with service? I know that we've made significant improvements in terms of our time of service response. But I'd love for you to give a little more color on this.
TerryBecker: Yes, this is a project that has taken a lot of our focus here the last few weeks especially we've revamped our software to be able to react faster, stay in sync better with all of the communications that need to take place. We have added quite a number of people to the service organization. And we have come up with a plan that will enable us to stay one step ahead of branching out and opening new territories as we sell into new territory. So we're -- we know it's a big challenge. We know we've got -we've had some recalls and those kinds of things to get our arms around and we're improving the systems quite a bit here just recently. So that's where we're at. 
MarkFrohnmayer: The expansion of our service network sort of goes hand-in-hand with opening new market areas. As I mentioned earlier, we have not met -- open any new market areas in the last six weeks since we last reported but that will be coming soon.
EricFritz: Less than 5% of the ATVM loan applicants are successful obtaining financing. What is Arcimoto doing to overcome such long odds?
MarkFrohnmayer: Well, I think one of the key things point as we've been talking to the Department of Energy now for five years, waiting for the right time to go after that program, and that I think timing is a big piece of it. So there we've seen a number of different companies go after ATVM funding prior to having any production operation or any product in market. And that is -- that makes it a much harder hill to climb in terms of letting the DOE get really get their arms around the reality of the -- of what a particular production program is going to look like. Arcimoto has now been in production for a year and a half, we are going through the whaling and the gnashing of teeth of being an early production program, and we're getting tons of customer feedback. And we're building the sort of the beginning of building really the data pipeline that shows the true magnitude of the opportunity. And we think all of those are going to be significant marks in our favor in terms of going after the DOE program. I think another aspect of the timing piece that I think is important is just that we have an administration that has made really bold goals regarding carbon reduction, as well as driving employment in domestic next generation vehicle manufacturer and that combined with the fact that Arcimoto is building some of the very most efficient vehicles on the road by a good margin for daily driving, and it goes all count in our favor in terms of getting out of that 95%.
EricFritz: Okay, we have a lot of questions on the deal with Munro. So I'm going to kind of lump these in together. My apologies to anyone that had a specific question that is not addressed by this, but kind of the general, the general question, feeling is what have we learned thus far from Munro? What has been implemented? What is the plan for implementing the rest? What is the future look like with the -- for the relationship with Munro? Once we're past this initial, kind of design phase, et cetera.
MarkFrohnmayer: So that's a lot of questions. And Jesse, feel free to chime in here as well, if you like, this -- in Q1 we kicked off. Yes. So when we started with Munro with a very small project last year, which was sort of help us with guidance in terms of what are the cost reduction points that we should be able to achieve at various different unit volumes, that informed our decision to shoot for 50,000 units per year of production capability, we then did a sort of a three prong project to do a deep look at our building materials, to do analysis work on the corners of the vehicle and how it interacts with the road primarily for optimization and weight reduction. And then really more of a structure analysis of the front end that holds all the pieces together. And then at the beginning of this year was when we really dove into it. And you can see it in our filing, I believe is the note about really engaging them on a much longer term basis for the development of the mass production version into next year. And I would say there are a ton of different pieces I could talk about in terms of working with the Munro team, just the -- it's both I mean, they have brought additional engineering capabilities. They've brought additional planning capabilities, additional product management capabilities, all with the goal of tracking to a very low cost, ultra efficient vehicle for the masses. And I would say we're --we have a big day actually tomorrow when we start really doing a fairly across the board down selection process on that mass production, design and plan. And so I expect that by next earnings call, I'll have some real meat to deliver in terms of where we are, as well as some of the very cool technology components that Arcimoto is working on. Also in the furtherance of efficiency improvement and cost reduction. So again, we're targeting aggressively targeting a startup production out of that new facility in Q4 of next year. So we have a ways to go before we get there. But we'll have lots of juicy tidbits to share along the way.
EricFritz: With Platform 2 being an inexpensive low range vehicle targeted at the Indian market, what features will be added to Platform 1 to help it stay competitive in the higher end market?
MarkFrohnmayer: Well, I should say Platform 2 is not just designed for the Indian market, it's really -- it is -- we intend Platform 2 to be a global product. Although Dilip got his first presentation on that -- on our first Platform 2 product, what, like, last week? And I'd be curious, Dilip, what is your perspective on Platform 2 in the India market?
DilipSundaram: Yes, so, obviously, I mean from the perspective, it has a tremendous amount of potential. So and that is something that we have to explore. It is -- India is a very competitive market. So, from my end, it is, from a price perspective, it is extremely competitive. So that is something that we have to keep in mind.
MarkFrohnmayer: And I would say, to finish answering the original question, the elements of what goes into Platform 1, one, Platform 1 already delivers a road experience, like nothing else out on the road. And we hear this, from our customers, we hear this from people who are trying it for the first time, we expect incremental improvements across the board to the experience of the vehicle. And then over the long term, we see cost reduction. So again, getting Arcimoto Platform 1 family to the point where somebody can get one for four digits pricing, including incentives is really important. Because that is we have the really -- the fundamental belief that we won't achieve sustainable transportation until people can afford the solutions. And the bulk of the vehicle market is not at that $35,000 new car price, it's in the 10k to 15k use car price range. So that's really the affordability is going to be a key piece of Platform 1 for the duration. And then I think we will continue to build upon delivering a truly world class ride experience on this unique new vehicle platform architecture.
EricFritz: What's up with Domino's?
MarkFrohnmayer: I have nothing. They make delicious pizza.
EricFritz: Fair enough? Where do we stand on getting doors, the units already sold that include the cost of doors?
MarkFrohnmayer: Terry Becker has a great answer for this question.
TerryBecker: After many, many months, quarters, we have been developing these doors. And we're coming down the final stretch of the final tooling. And the final assembly line that will build these doors. We've actually engaged with some of the evergreen customers that have doors on do builds. And we're making sure that we get the colors and the paint jobs and those things figured out. As far as doors for future vehicles, this tooling in all of the assembly line and the vetting of these doors should be complete. And if you choose doors on your configured FUV in Q3, it should come with doors on it. So that's where we're at after many months. Turns out that doors are just about as complex is a lot of the rest of the vehicle testing that type of thing. 
EricFritz: Thank you, Terry. Along that same line of questioning are there plans to bring options that accommodate dogs such as a sidecar and/or children to market?
MarkFrohnmayer: I would not put your children in the sidecar. So I know for people who've been following me on Twitter, you may or may not have seen posts of some of the prototype side cars that we put together, we're doing one more iteration of that in order to bring in some customer feedback that we got. And I'm expecting that that will be an option, hopefully before the end of this year. And we've got a whole set of accessories that are in the queue, that we are working feverishly to get fully set up through the entire sales and production system, everything from bags to golf club carrier to additional storage options. And so those will be part of the vehicle product lineup. We're certainly thinking 2021 we'll have lots of optionality.
EricFritz: All right, and we'll go one more from Say, probably switch over here. The vehicle looks fun and functional. How is the interest from National Park City rise and other rental fleets? Does supply exceed demand? Or does demand exceeds supply? What's slowing the production ramp? And what steps are being taken to address it?
MarkFrohnmayer: The overarching challenges that we have had really relates to the supply chain. And that's -- that has been a twin problem. One is been with some -- we have had some component quality challenges that we have caught in our factory that we have -- in some cases had to stop production for. We've also received limitations from certain suppliers just on what sort of unit volume output they can produce in calendar year 2021. So that's one of the reasons why we're really trying to be very judicious about the vehicles that we build this year, to make sure that they really have maximum visibility and utility within the market to prime the pump for scale.
EricFritz: How -- back to ATVM for a second, how long does it take to get approval for the ATVM and some --waited many years and went out of business before getting approval? Do you have a plan B in case it doesn't work out?
MarkFrohnmayer: Yes. Well, so the ATVM has, and we've said this for, I think many quarterly calls it is simply our preferred funding vehicle for scale production. And the effort to go through all of the planning process for the use of proceeds and planning out for scale as utility wherever the funding comes from, the advantage with ATVM is it's a non dilutive treasury rate loan program. So we think that the cost of capital is the best that we will be able to achieve in the market. In terms of how long it takes, we have heard good signals from the deal we've recently they -- all the way from the director saying we phase number one, we're expecting that to be about six weeks, that's the determination of substantial completeness then there's a due diligence process but I -- my expectation based on talking to them is that sort of nearest timing would be six months probably more likely would be somewhere on the nine months to a year timeframe. But my -- I'm getting the sense based on what we're hearing from them that they are feeling the need to move quickly.
EricFritz: What is the sizing and timing of the Roadster ramp up following first delivery in Q2?
MarkFrohnmayer: So yes, I mean really first delivery will be first delivery. Once again signed up for vehicle number zero so that -- the push of the team is get Roadster number zero in my driveway by June 30. But beyond that, we're still going to have a bit of work to do to get all of the sales processing systems in place and get everybody through that pipeline. So I would expect a slow ramp on the Roadster and again, that's going to be -- the Roadster is -- Roadsters and Deliverator and FUVs are all sort of competing for the same production slots that we have throughout the end of this year. Although one of the advantages of the Roadster is that obviously has -- there are certain components that are part of the other vehicles that are not part of it. So if there is a supply chain limitation and seatbelts for example, then the Roadster can be built without that limitation. But I think it is too early for me to predict at this point, what the sort of specific ramp up looks like for that product other than to say, I expect the slow ramp for the Roadster in 2021. And I think I saw another question from Mike Shlisky saying basically, are Deliverators going into rental fleets at this point, I believe Deliverators will go into rental fleets, because we want to make sure that we are covering our bases in terms of shared vehicle usage models that involve last mile delivery, we did kind of our toe in the water, with HyreCar, got some fantastic feedback from their drivers. And I think that's a program area where that vehicle truly shines. So we want to make sure that people who don't -- people don't necessarily have to own a Deliverator in order to make money with it. And likewise, Roadsters in certain areas will likely see utilization in our rental fleets as well.
EricFritz: Mike, also have a question related to supply chain and production outlook. Did Arcimoto encounter any supply chain issues in Q1? Has there been any improvement or deterioration in Q2 thus far? And what is the production outlook for Q2?
MarkFrohnmayer: Terry, you want to take a swing at this? I mean, I think Q2 has certainly -- we have certainly seen supply chain challenges in Q2, both in terms of part supply, availability, and we have worked through some of those. And then we also have had some pieces that we've had to go back and take a deeper look at. What that means in terms of our exact unit output for Q2, I think is still TBD. But Terry, if you want to add any more color to that, I'd be happy to hear.
TerryBecker: Yes, every factory out there, and including the ones that supply parts to OEM factories are going through the same challenges that we all are this last year or two. And the other thing beyond the pandemic is just the fact that now everybody is -- now that everybody is ramping back up, the supply chains are being hit with part shortages. So if it's not their manpower or their uptime that they're fighting, now it's pricing. And it's the cost of making our parts. So those are all challenges that are overcomable in different ways. And we're hitting it from many different angles to increase our capability to keep up with that. But yes, it's been a challenge.
MarkFrohnmayer: The one bit I would add to this, though, is that in just in framing, it is one of the real advantages Arcimoto has is that we entered the pandemic with a substantial amount of inventory. And we were able to build and are able to build hundreds and hundreds of vehicles that we can get out into the market. And so when you look at EV companies, particularly that are now just trying to get into production, I think that we have a substantial advantage in that we actually have production vehicles and that our main timing window that we're shooting for is basically end of next year, in terms of really hitting a turning the ramp online and cranking vehicles out the door at mass production volumes. So if you are focused on the immediate term I would encourage you to take the long view.
EricFritz: I see it -- Terry?
TerryBecker: All challenges are very overcomable. And we are well on our way.
EricFritz: I see a couple questions related to competition and how we see ourselves position versus specifically Electro Mechanica and Aptera.
MarkFrohnmayer: Well, one I would say that I think that as you look out at the market right now, the fact that you've got the Can-Am Spyder, the Polaris Slingshot, Electro Mechanica Solo coming soon, Aptera coming soon. Arcimoto on the road, this form of the reverse strike, two wheels in front one wheel and back done right is clearly achieving market awareness and true market penetration. And so I think that is a very good thing for all the players going after this particular space. In terms of which of amongst these is a competitor. I love the Aptera, I think that they're -- we share their same really deep commitment to vehicle efficiency. But they are building a very different vehicle from the Arcimoto. We're building something that's meant to park three in a space is a really designed to be a droid urban vehicle for last mile delivery for vacation rentals for just sort of everyday trips. And they're building a really a car size vehicle that's designed to go 1,000 miles on a charge or something that you never charged because it's got solar panels all over it. And I think that each of those has a really strong potential value proposition in the marketplace. I think the Solo might be a little bit closer in terms to have an adjacent competitive product. But again they are -- have aimed for a single seat, very automotive like experience. I think the Arcimoto because it is a two seat vehicle for the consumer version. And because the our delivery version has quite a lot more storage space, I think I see us doing well in those markets, I see a real opportunity for shared vehicle services for Solo, for example. So but ultimately, the competition that I see is an old set of ideas about transportation. And we really welcome all of the other players who are trying to make a real difference towards fighting climate change. 
EricFritz: There's also a few questions around Bonitas Research and the lawsuit that it may have generated.
MarkFrohnmayer: So I spoke at some length on the previous earnings call about the allegations in the Bonitas report. I would refer you back to our previous earnings webinar from end of March. TLDR is we think it's chock-full of falses and misrepresentations. And then obviously, Doug, you want to read what we threw in the K regarding this?
DougCampoli: Sure. On April 19, 2021 litigation style David Barnette versus Arcimoto Inc, Mark Frohnmayer and Doug Campoli was filed in the United States District Court for the Eastern District of New York. The action, in which none of the defendants has yet been served, purports to be a class action on behalf of all those who purchased our economy stock between February 14, 2018 and March 22, 2021. And it's based on the research report dated March 23, 2021 produced by Bonitas Research LLC, a short seller of the common stock of our common stock with the stated intention of driving down the market price of our common stock. Although the lawsuit is purportedly a class action, no motion to certify a class has been filed at this time. We believe we have substantial defenses to the claims asserted in this lawsuit and intend to vigorously defend this action.
MarkFrohnmayer: Thank you, Doug. Yes, I would just say if you're tracking -- if you're looking at the short interest on the company, if you're looking at just the slew of short reports that started to show up, once there was a substantial amount of short interest on the company and then the absolute spam from law firms about these class action claims. I mean, I think, to me, it smells of a reverse pump and dump. We look forward to vigorously defending ourselves in this case, but again, our main focus is on the execution of the business and the push to scale.
EricFritz: Anything to share about which states will be coming next or opening nationwide for delivery of vehicles? And then a follow up question from another individual. How many states do you plan to open up this year?
MarkFrohnmayer: So my -- I would say we will announce them when they are announced, but you can look at states immediately adjacent ones are open, those are probably good candidates initially. And then my goal for the end of the year is to have a much higher level of coverage for our pre order book, if we can get to the point where we've got open facilities or an eye to open facilities, somewhere approaching 70% of our pre orders, which is really only a handful of additional states, that would be awesome. And again, we -- our goal for nationwide is by the time that we are in mass production, that we are also able to deliver, at least in the lower 48. And, of course, we see why it is a fantastic opportunity as well. I haven't forgotten about you Alaska, we will be there soon. All right, Fritz, let's take a couple more. And then I think we're a little over time, but we can pick a couple more and then wrap it. 
EricFritz: Great, can you run us through some of the challenges facing between now and the targeted end of 2022 goal of completing the ramp?
MarkFrohnmayer: Well, they are -- there are a substantial number of challenges. One in any vehicle production program involves just a massive amount of coordination. But I would say probably the biggest challenge or the -- and it is going to lead into some of the work that we're doing internally in terms of organizing company. But I would say that based on our experience to date, that I see making sure we have a really robust supply chain as we go into scale production is going to be one of our very biggest challenges. We are also pushing some significant new technologies for the drivetrain. And getting those really dialed in to the point where they are ready in time for deployment is going to be a big hill to climb. And then cranking a vehicle out the door every eight minutes is no small feat in of itself. So planning out the assembly line, making sure that works like clockwork. But I would say Jesse, Dilip, Terry, if you guys have anything to add, be all yours.
DilipSundaram: It's a challenge, but it feels good right now. We have a great team that understands that we've got to do to get there. And we feel like we're making good steps. So I'm feeling good.
TerryBecker: I'll just throw out there too that Dilip with his international connections and his background with high volume large companies is going to be very, very helpful. And working with Dilip and the Munro team and the focus that we have with designing the vehicles, with that in mind from day one will go very well. Feeling good, like Jessie?
EricFritz: And for our final question, this is a good follow up that addresses Doug. Specifically, now that we have Dilip, where internationally will be our first focus after North America? South America, Asia, Europe other?
DougCampoli:  Well, okay, so we're still in the process of building the strategy here. So and as you know, I mean, as we go internationally just gets more complex because of the regulatory issues that we have to address. But having said that, you also got to look at it in terms of many cities in Europe have already embraced the European green deal. So which means that many of them are kind of like closing their traffic or internal combustion engine vehicles, and even sometimes electric vehicles in the downtown areas? So what is that -- that gives us a tremendous opportunity there to play or to be the personal mobility provider? So that is definitely the case. Then you have also have places like Singapore or Hong Kong, city states that kind of really lends itself to something like what we got, and here our government's also promoting electric vehicles, not just electric vehicles, they are promoting personal mobility vehicles. So and then you have a place like Mexico City, where the mayor of the city is anxious to bring an electric vehicles for both personal mobility as well as for other kinds of transportation. And so do we have a lot of low hanging fruits, absolutely. But it's also going to depend on the regulatory issues that we have to encounter.
Mark Frohnmayer: So what Doug is doing right now is helping to organize the process for identifying what are our top priorities? What are the low hanging fruit? Where are the regulatory obstacles the lowest, what are the longer-term regulatory components that we should be aware of both in terms of things like market entry as well as actual vehicle characteristics in the out years to make sure that we are planning ahead for where the need is greatest and the opportunity is great. All right. Well, thank you all for tuning in. Again, if we -- apologies if we didn't get to your question. You can always email investor@arcimoto.com. If you have not already signed up on our investor email list, you can get there from arcimoto.com/ir. This webinar will be posted I think tonight for anybody who missed it. And please stay tuned. We'd love to get you in the driver's seat. Take care.